Operator: Good day ladies and gentlemen and welcome to the fourth quarter and full year 2010 InfoSpace earnings conference call.  My name is Jennifer and I will be your operator for today.  At this time all participants are in listen only mode and later we will conduct a question and answer session.  If at any time you require operator assistance please press star followed by 0 and we’ll be happy to assist you.  As a reminder this conference is being recorded for replay purposes.  I would now like to turn the conference over to your host for today, Stacy Ybarra, Senior Director of Investor Relations.  Please proceed.
Stacy Ybarra: Good afternoon and welcome to InfoSpace's fourth quarter and full year 2010 earnings conference call.  I'm Stacy Ybarra, Senior Director of Investor Relations.  On the call today are Bill Ruckelshaus, President and Acting Chief Executive Officer and David Binder, Chief Financial Officer.  During the course of this call InfoSpace representatives will make forward-looking statements including but not limited to statements regarding InfoSpace's expectations about its product and services, outlook for the future of our business and growth initiatives, acquisition strategy and anticipated financial performance for first quarter 2011. Other statements that refer to our beliefs, plans, expectations or intentions which may be made in response to questions are also forward-looking statements for purposes of the Safe Harbor provided by the Private Securities Litigation Reform Act.  Because these statements pertain to future events they are subject to various risks and uncertainties and actual results could differ materially from our current expectations and beliefs. Factors that could cause or contribute to such differences include but are not limited to the risks and other factors discussed in InfoSpace's most recent quarterly report on Form 10-Q on file with the Securities and Exchange Commission.  Infospace assumes no obligation to update any forward-looking statements, which speaks only as of the date the statement is made.  In addition, during this call, our management will discuss GAAP and non-GAAP financial measures. In the press release, which has been posted on our Web site and filed with the SEC on Form 8-K, we present GAAP and non-GAAP results along with reconciliation tables and the reasons for our presentation of non-GAAP information.  Now I'll turn the call over to Bill Ruckelshaus.  Following his comments David will review fourth quarter results and first quarter outlook.  Then we will open it up to your questions.  Bill.
William Ruckelshaus: Thanks Stacy and good afternoon.  Today is my first opportunity to address investors and analysts as a group since joining the management team as President and Acting CEO.  I’m pleased to report that InfoSpace has solid operating results in the fourth quarter.  Before David outlines details of our financial performance I’d like to share a bit about why I joined the team here and how we are thinking about growth and value creation going forward. I took this role at InfoSpace because I truly believe in the company’s potential.  Since joining the management team late last year I have spent considerable time meeting with our teams, evaluating and understanding their plans in greater detail and also assessing the potential of the businesses we operate.  We have a great team here and as a board member for the past 3-1/2 years, I have been consistently impressed with the people behind our company. Over the last few months I’ve experienced an even greater appreciation for the extended team, witnessing first hand the energy, can do attitude and dedication that our employees possess.  For my part, I am committed to providing direction and leadership that sharpens our focus and facilitates success.  As part of this effort I plan to improve the pace of decision making and operate with discipline, efficiency and intensity. Through these efforts we are confident that we can augment the results with performance based accountability.  I am also encouraged by the product roadmap for 2011.  Using our current infrastructure we will be making a few targeted investments in initiatives that are natural extensions of our core business.  One area of focus for us this year is on improving the user experience on our search sites with feature development and other UI enhancements. In the fourth quarter we launched several new features that have already led to better paid click through conversion.  We are also working on initiatives that apply our inherent capabilities to extend monetization beyond search.  We are developing new tools and features that add value for both our consumer audiences and our B2B customers.  One example is a new social commerce aggregation service we are piloting that delivers a list of the best daily deals throughout the country all in one spot. Internet consumers can subscribe to dailydeal fetcher to receive the top daily deals negotiated by all of the leading social commerce sites including Groupon, LivingSocial and Tipper.  In addition, we are evaluating opportunities to expand inorganically where it makes sense.  We will pursue new innovation that we believe has strong potential for growth but that also and importantly leverages our existing businesses and generates return.  I have focused a lot of my attention thus far in helping work with the team to further stabilize our position in 2011 but also put the - lay the groundwork for thoughts beyond 2011 and setting us up for long term growth potential. We’re off to a great start I believe and building a sustainable and meaningful business and there is still a lot of work to do.  I am very confident in the future of this company.  We have a very solid foundation upon which to build.  The renewal of our 12-year relationship with Yahoo, which was announced today and which also includes access to Bing’s advertiser network, is a testament to the value we continue to bring to our search providers. We are pleased with the terms of the agreement which are consistent with our current business performance and to the extent that it brings more traffic we will benefit even further.  In addition, our value proposition to our search distribution customers is intact and extremely compelling.  We are uniquely positioned to capitalize on our ability to drive quality traffic to highly relevant and monetizable search results pages. I believe there are further opportunities to exploit both our owned and operated and distribution lines of business.  We have a variety of initiatives we have identified that will over time stabilize and expand our top line for search on both sides of the house.  Through continued investment and focus I believe we can thrive and continue to thrive as innovators in search.  Regarding our e-commerce business, David will speak to the specific trends. But overall we continue to like the specialty nature of the business and we will continue to invest for the long term.  While we have enjoyed significant revenue growth, we’re not satisfied with the margin performance here and much of our initiatives in the coming year 2011 will focus on improving the margins and driving to profitability as quickly as possible.  Now turning to my thoughts regarding M&A - while I believe there are many short and intermediate term wins in the current businesses, M&A continues to be a key area of focus for the company. I am personally devoting a significant amount of my time to this pursuit.  Consistent with past updates, we are looking for opportunities to deploy our cash in pursuit of strategically well positioned, financially attractive businesses where we feel we can succeed.  Our entire board and management team are committed to this strategy.  We do not have anything to report today but e are actively evaluating a number of opportunities and will update you all when appropriate. Creating sustainable shareholder value is our top priority and I’m interested in sharing our vision with you further over the next couple of months.  With that I’ll turn the call over to David for more details on the operating results for the fourth quarter and full year 2010.
David Binder: Thanks Bill and good afternoon to the folks on the call.  I’ll start today with a review of our financial results in the fourth quarter and full year 2010 and then give greater details on the performance of each of the segments.  I’ll end my comments with overall guidance for the first quarter of 2011.  Total revenue in the fourth quarter was 63.9 million.  This represents a decrease versus the fourth quarter of 2009 of 9%, however represents growth of 4% from the third quarter of 2010. The decline versus the prior year is driven by performance of our search distribution business, which struggled in the first half of 2010.  The decline was partially offset by new revenue from our e-commerce business, which we acquired in May last year.  Sequentially our growth came from both our search distribution business, which began to stabilize in the second half of 2010, as well as from our e-commerce segment, which grew impressively through the holiday season. These positive trends were partially offset by our own search sites, which declined solely due to the continued attrition of the make the Web better user base we acquired earlier last year.  For the full year total revenue was 246.8 million, which represents an increase of 19% versus 2009.  Both of our core search and e-commerce segments grew with the lion’s share of our growth coming from the newly acquired e-commerce business. Adjusted EBITDA in the quarter was 6 million, which compares to 11.2 million from the fourth quarter of 2009, a decrease of 5.3 million or 47%.  It’s worth calling out that when compared to the prior year we recorded a 2.4 million tax benefit in the fourth quarter of 2009 and a severance charge of 1.7 million in the fourth quarter of 2010.  The combination of these two items drove the majority of the sequential decline.  Compared to the third quarter of 2010 adjusted EBITDA increased by 1.2 million or 25%.  Better performance of our core search business was partially offset by greater losses in our e-commerce segment. For the full year 2010 we posted 27.6 million in adjusted EBITDA compared to 27.4 million or 200,000 better than the prior year.  Net income in the fourth quarter was 11.6 million or 31 cents per diluted share, which compares to net income of 7.7 million or 21 cents per diluted share in the fourth quarter of 2009 and compares to a loss of 100,000 in the third quarter of 2010.  This result includes 19 million of other income associated with the settlement of a derivative lawsuit, which was completed in the fourth quarter last year. This gain is partially offset by a GAAP based tax expense of 6.6 million, which is primarily related to the settlement gain as well as severance charges associated with our prior CEO of 1.7 million in operating expenses and 3.4 million in accelerated stock based compensation expense.  For the full year net income was 13.7 million, equal to 37 cents per diluted share and compares to net income in 2009 of 7.4 million, equal to 21 cents per diluted share. Turning to our balance sheet, we ended the year with 254 million in cash and short term investments, equal to $7.03 per ending share.  It’s important to note that this balance includes roughly $8 million in payables associated with the derivative lawsuit and certain executive severance charges that will be made in the first quarter of 2011.  Net of these payables our cash balance is 246 million and we continue to hold no debt. The fully diluted share count in the quarter was 36.9 million and we ended the year with 36.1 million shares outstanding.  Now turning to the details of our two segments, in the fourth quarter our core search segment generated 49.7 million in revenue, representing a 30% decrease versus the fourth quarter of 2009 and a decrease of 2% versus the third quarter of 2010.  These results are impacted by the performance of make the Web better, which generated 3.8 million in revenue in the quarter, down by 13.7 million versus the fourth quarter of 2009 and by 1.5 million versus the prior quarter. While the performance continues to decline, this is consistent and actually better than the performance we expected when we purchased the assets.  Excluding this impact, our core revenue is down 13% versus the fourth quarter of 2009 but up by 1% versus the prior quarter.  The decline versus the prior year is solely driven by our distribution business.  As I mentioned earlier, we experienced relatively weak performance from some of our partners in the first half of the year which stabilized by the third quarter of 2010. Sequentially growth in the fourth quarter came from both our owned and operated as well as our distribution business.  In total, distribution equaled 67% of our core segment revenue, down from 81% in the fourth quarter of 2009 but up from 64% in the third quarter of 2010.  For the full year of 2010 our core business generated revenue of 214 million, up by 3% versus the prior year.  Our owned and operated revenue grew by 27% partially offset by a decline of 6% from our distribution business.  Income from our core segment in the fourth quarter equaled 8.3 million or 17% of revenue. This compares to 11.2 million in the fourth quarter of ’09, a decrease of 2.9 million.  As I mentioned earlier, this comparison includes the tax benefit of 2.4 million we booked in the fourth quarter of 2009 as well as a severance charge of 1.7 million booked in the fourth quarter of 2010.  Excluding these items segment income was up slightly.  When compared to the third quarter of 2010 income from our core segment grew by 1.7 million or 25%. For the full year 2010 income from our core segment was 32.5 million and compares to 27.4 million from the previous year.  Now turning to the performance of our e-commerce segment, in the fourth quarter we generated 14.3 million in revenue, up by 3.1 million or 27% from the third quarter of 2010.  Gross margin equaled 1.5 million, up by 200,000 versus the third quarter and equal to 11% of e-commerce revenue. Total segment loss was 2.3 million in the quarter compared to a loss of 1.8 million from the third quarter.  While top line performance exceeded our expectations, our loss expanded with higher cost of logistics and marketing.  For the full year our e-commerce segment generated revenue of 32.5 million and a loss of 4.8 million.  Now for our outlook, in the first quarter of 2011 we expect revenue to be between 57-60 million, adjusted EBITDA between 5-6 million and net income between 500,000 and 1.5 million from 1 to 4 cents per diluted share. For our top line guidance we expect some reduction in our owned and operated search, mostly due to the continued attrition of the user base associated with make the Web better.  And we also expect relatively stable performance from our distribution business.  For our e-commerce segment we expect lower sequential revenue due in part to seasonality coming off of the fourth quarter.  Additionally, we are reducing our investment in certain low margin categories, which will further contribute to a sequential decline in revenue. As a result of this pull back we also expect to improve the profitability of the segment with a loss between 1.5-2 million.  With that I’ll turn the call over to the operator and we’re happy to take your questions.
Operator: Ladies and gentlemen, if you have a question please press star followed by 1 on your telephone.  If your question has been answered or you would like to withdraw your question press star followed by 2.  Questions will be taken in order received.  Please press star, 1 to begin.  Your first question comes from the line of Clay Moran from Benchmark.  Please proceed.
Clay Moran: Thanks.  Good afternoon.  A couple questions - Bill, seeing as it is your first time on the call I wanted to get your thoughts on a couple things.  First, could you expand a little more on the acquisition strategy?  Do you think that will change at all from sort of pursuing first and foremost Internet type plays, relatively stable cash flow creating businesses?  Any more color you can give us on that would be helpful. And secondly, there has been a number of changes to the board of directors including the chairman in the past three months or so.  Could you talk through sort of what drove those changes?
William Ruckelshaus: Sure.  Happy to address both those questions.  So on the - with respect to the first question around the M&A strategy, I don’t think it is a significant or revolutionary change Clay in terms of the approach that we have been taking in the past months in terms of really being aggressive and prioritizing our transactional focus and our activity surrounding M&A. We see that there is a lot of value overall with respect to InfoSpace around our existing businesses and those can be optimized we think in ways that are I think offer the potential to improve performance.  There is also I think a lot of opportunity to diversify those businesses in directions that don’t rely on search revenue and sort of further stabilize those businesses and solidify them. And then to complement that activity with M&A efforts, acquisitions that would in many respects dovetail with those diversification strategies, that’s absolutely something we see as being interesting and something we have prioritized in addition to thinking more expansively about how we can use an acquisition to take the company potentially in a different direction.  So that’s a fairly open ended set of strategies but I think not all together different than what we’ve said in the past. And I think in terms of what we’re looking for, it is absolutely I think critical that in looking at any opportunity that first and foremost we like the business and we think the business is interesting and it’s well positioned and it’s in a market segment that has favorable dynamics and the company is well positioned.  And then very closely on the heels would be the financial attributes of the company, which is I think as you were referring to, there is a bias on our part in acquiring a more established business with solid profitability. And the value we can create in acquiring a business like that I think is pretty straightforward.  The chances of succeeding in a transaction I think are improved to the extent that we understand the business and it leverages skills that we have in the company.  And so as you mentioned, Internet, we are an Internet company.  We have a long, experienced track record in terms of operating online businesses both B2C and B2B businesses.  So that would certainly be an area where we feel like we can understand a company and diligence it and fairly price it and then execute on the back end. And then all the other common things that anybody looking to do an acquisition would think about in terms of the team and the culture of the target company and how well those would mesh with our existing company and valuation and financial impact and things like that.  So that’s a long winded answer to your question but I think the short answer is that not a lot of significant change but a lot of focus and prioritization absolutely. And your second question I think was around the board changes and I think it’s really not - there’s nothing particularly newsworthy to talk about there other than the fact that Jim Voelker had been our chairman for some time and we were lucky to have him as our chairman and he’s transitioned off.  And John Cunningham who has been on our board for some time has now agreed to step in and take the chairman role. So I think it’s a natural transition on Jim’s part.  We’re fortunate to have John, who has got a great history with the company stepping in.  And so I don’t think we’ll skip a beat or miss a beat in the transition and everybody is still very supportive and focused on what we’re doing.
Clay Moran: Okay.  And then one more question on fourth quarter results just to be clear - the EBITDA of 6 million, that includes a 1.7 million one time charge.  So a clean number would be 7.7 million.  Am I reading that right?  And then also can you give us a sense of how much make the Web better contributed to that EBITDA?
David Binder: Sure Clay.  This is David.  You’re reading that correct.  The 1.7 million was a direct reduction to EBITDA so without that we would have been at 7.7 million for the quarter.  Make the Web better contributed 3.8 million in revenue, roughly 3.5 million toward that total EBITDA number.
Clay Moran: Great.  Thank you.
David Binder: Thank you.
Operator: Your next question comes from the line of Kerry Rice from Wedbush.  Please proceed.
Kerry Rice: Hi guys.  Just a couple kind of high level questions - you obviously mentioned the contract signing with Yahoo, the extension there.  And I think just to make sure I understand it, the terms are consistent I think you said with current business.  Does that mean that they were essentially the same kind of economics that we saw in the previous contract? And does it for any reason preclude you guys - I don’t know if there was any exclusivity in the sense of you’re still going to negotiate with Google for the contract you have with them. And then the other question is maybe can you provide a little bit more color around how you think you can grow maybe the O&O business or traffic to that O&O business?  It’s obviously got great economics and if you guys got that kind of reaccelerating it would drop to the bottom line pretty quickly.  Thank you.
David Binder: Thanks Kerry.  This is David.  So first on the Yahoo agreement, we shifted terms around in terms of the economics.  And net-net of those shifts it’s pretty much neutral in terms of the yield that we get from traffic that we send to Yahoo’s network.  So the financial impact to us is consistent in terms of the participation we were getting in the prior deal. We also continue to benefit to the extent that our business grows, those economics improve.  So we were pleased with that continued benefit in the agreement.  And then finally we have a number of rights that we think are very key to the meta search capability and our ability to distribute search results to syndicated partners.  And all of those rights have continued throughout this renewal. So we came through this process intact with some upside if we can continue to grow the business.  Your second question regarding owned and operated is a great one.  We view that a the greatest yield in sustainable value that we could generate to the extent we can stabilize and grow that business.  Right now we are focused very much on user experience, bringing through more advanced features so that our search products through all of our Web sites are better than they have been in the past. And we think that’s a good beginning to growth.  And then in the long run to really get this business beyond stable into a growth position we need to focus more on products and applications to acquire users around that search capability.  And I think that that’s something for a longer term initiative that we’re hopeful we can speak about more in the future.
Kerry Rice: Okay.  Thank you.
Operator: Your next question comes from the line of Eric Martinuzzi from Craig-Hallum.  Please proceed.
Eric Martinuzzi: Thanks for taking my question and welcome aboard Bill.  The Google renegotiation that you guys are looking at I think, is that a March or April timeframe?
William Ruckelshaus: That’s April 1st.
Eric Martinuzzi: April 1st, okay.  Obviously it’s good to have Yahoo in the rearview mirror.  Is there any impact from that relationship on the potential for the renegotiation with Google?
William Ruckelshaus: So we’re following the process that we always expected to where we get Yahoo complete first and then focus all of our attention on Google.  So that’s going as expected.  The one thing is with Yahoo and the ability to earn more as volumes increase, it provides us with more options as we go forward with our Google renewal.  So I would say that we’re moving forward as expected and getting Yahoo in the rearview mirror helps us with that position.
Eric Martinuzzi: Okay.  And then taking a look at the margins, you talked about the e-commerce business here.  This is now I guess two quarters in a row with the loss in the neighborhood of 16%.  You’re going to try to fix that by eliminating some product categories.  Specifically what are we talking about?  Where does e-commerce go from a product perspective?
William Ruckelshaus: So that’s a great question on e-commerce and what we really saw in the fourth quarter is that in certain categories the low product margin coupled with tough logistics in getting product to the end users is putting more pressure on the business than we would like.  So the first thing we’re doing is we’re focusing on products that we can earn a higher gross margin first and foremost but also has greater efficiency through fulfillment, through customer satisfaction and returns so that the net margins of those products can improve over time. Throughout the course of 2011 our intent is to shift focus more towards those higher net margin products and categories to expand total top line through better customer experience on the front end specific across those categories and then to continue to grow and get the business to a much better profitability position.
Eric Martinuzzi: But I mean within those categories, was the pressure on furniture, was the pressure on exercise equipment?  Where are we turning away from and turning towards?
William Ruckelshaus: You know, we had a lot of pressure in kids and furniture categories.  And I would say that we are pulling back to a certain extent but if we can source product that would provide better logistics and better margin within those categories we would expand back into them.  So it happened to be specifically in the furniture and kids categories but I also think that there are others that we should be looking at as well.
Eric Martinuzzi: Okay.  And I did see you signed up some new partners on the search side.  You’re obviously hesitant to put a timeline on when do we come out of stabilization on owned and operated in particular and then total search in general.  But is this something that we could see to the point where we’re back to a growth trajectory within the current calendar year?
William Ruckelshaus: Yeah.  I think notable is in the fourth quarter other than the attrition on make the Web better, which is as we expected, the business actually grew.  In the first quarter we’re really expecting flat performance from search, which is I would call a stable position.  And we believe the distribution business is poised to return to growth.
Eric Martinuzzi: Thank you.
Operator: Your next question comes from the line of Ross Sandler from RBC Capital Markets.  Please proceed.
Ross Sandler: Hey guys.  Thanks for taking my questions.  Just a quick follow up on the Yahoo deal - so is the advertising piece of this deal with Yahoo or directly with Bing?  And does Yahoo get a rev share?  I was under the assumption that everything on the ad side had already shifted to Bing but that may not be the case.  And you mentioned some restrictions around distribution.  Can you just elaborate on what those are and then kind of what shifted around in terms of the economics? And then on your daily deals initiative just a quick question - we heard some pushback in the space from some of the deal originators towards some of the deal aggregators.  LivingSocial had cut off a few of these guys early in the year.  Is that the case?  Or how do you kind of work around that issue?  Is it just LivingSocial or how is that playing out?  That’s it.  Thanks.
David Binder: Okay.  Hey Ross, it’s David.  I’m going to try to keep up with all of your questions.  I may have to ask you to repeat some of the later ones.  On the agreement we’re working directly with Yahoo, which has always been our legacy and it’s our point of contact.  The Yahoo negotiation and the terms of the agreement include access to Bing’s network, to their technology and to their advertiser base. And I can’t speak to how they are sharing the technology or the revenues amongst the advertisers but that our deal with Yahoo now covers Bing’s capabilities and Bing’s reach.  You had followed on with questions regarding distribution rights and my comments are really that nothing has changed.  Our ability to syndicate results, to blend results between the different search engines has not changed in this Yahoo renewal, which is something that we’ve always viewed as fundamental to our business and our ability to grow. So no change is good for us.  And in terms of the rates shifting, really it’s just a clean up of various tiers and structures that in total created a neutral financial impact to the business.  So I think those are your questions regarding the Yahoo agreement.
Ross Sandler: Yeah.  Just one on distribution - so I understand how the blending of the ads and the search results will work but have they placed any restrictions on the kinds of third party distribution sources that you guys can partner with or no?
David Binder: Well, there is always approval of individual partners and any time we launch a new partner we receive approvals from all of the search engines that participate.  And then there are some broad category exclusions or concerns that have been expressed.  None of that has changed in this agreement.  It’s the same dynamic, the same types of partners that we know our partners are happy to support.  So there are no changes on that side.
Ross Sandler: Okay.  Great.  And then on the daily deals?
William Ruckelshaus: So daily deals is - you know, it’s a product that we have been in pilot with for about six months and our take on it is really an extension on meta search into meta aggregation.  And it’s more on the discovery of those deals and the aggregation across the various local providers.  We’ve got very good relationships with the different groups including LivingSocial and we haven’t in those relationship received any indication that they have concerns about providing us with the content in the way that we’re aggregating. So the noise or the concern that you may have heard in other areas isn’t consistent with our experience. And it may not be consistent with our take on this aggregation product.
Ross Sandler: Okay.  That’s very helpful.  Thanks for the clarification guys.
Operator: Again ladies and gentlemen, to ask a question please press star, 1.  Your next question comes from the line of Rich Tullo from Albert Fried & Company.  Please proceed.
Rich Tullo: Yes.  Hi guys.  Thanks for taking my questions.  My first question is is the net number from the settlement roughly 12.4 million?
David Binder: Hey Rich, it’s David.  That’s a way to look at it for the fourth quarter.  So net in this quarter what we booked is 19 less the 6.6 million tax expense and less about 5 million - actually no, the 5 million didn’t cover this.  So it’s 19 less the 6.6.
Rich Tullo: Okay.  I just want to make sure my numbers are right there.  Given the change in the board, change in the management, how is INSP and the board thinking about capital structures going forward?  It seems like enterprise value is declining as cash is building.  And are there any ideas about returning cash to the shareholder?  It’s been quite some time since you’ve executed on a deal.  We understand that that process has probably gone under some change over the last three months but are there any plans to return cash to shareholders or can you give us any insights as to a timeline when you are likely to announce acquisitions?
William Ruckelshaus: It’s Bill Ruckelshaus.  I’ll take that question.  So I think that there is absolutely a lot of thought being given to what the right capital structure is and your comments are spot on in terms of the businesses that we’re in together generate positive cash flow.  So what was already a sizable cash balance heading into 2010 is even bigger exiting 2010. And as you have no doubt followed, it has been the sort of announced strategy of the company to put cash to work against strategic transactions that have opportunity to create enterprise value in the business and that being perceived as the best way to create value, the best of alternatives that would include a dividend or share repurchase or asset divestitures.  So I think for the time being that that is going to continue to be the priority we have an active M&A process as I was alluding to earlier that we think has a lot of viable directions we could go there. And being able to create value post one of those transactions ideally if we execute and some of the tax efficiencies associated with our ownership of an asset that’s profitable and that we’re operating well, that is still perceived as an attractive path to pursue and continues to be a focus of ours.
Rich Tullo: Okay.  Thank you very much.
Operator: Your next question comes from the line of Scott Kessler from Standard & Poor’s Equity.  Please proceed.
Scott Kessler: Thanks a lot.  Great to be with you.  Two questions - the first involves the deal with Yahoo.  Can you provide any more specifics in terms of what’s different about the deal now than say last year?  And my second question involves something that we get asked about occasionally which is can you maybe detail three points about your search technology and why it’s proprietary and differentiated and valuable?  Thanks.
David Binder: Hey Scott.  This is David.  Thanks for the questions.  The first one is easiest.  Really there is nothing different about the Yahoo deal than last year.  There are certainly certain terms have changed but net-net of those terms there is nothing different to the performance of the business, how we expect to grow and how we monetize search queries.  So it’s a continuation for the next three years as we have been performing in the past. The second question is an interesting one.  You know, the key to our search business, what’s uniquely valued about it is meta search and so our ability to bring in multiple search engines, to blend the results including the advertiser results on a single page, creates what we believe to be a good user experience, superior monetization and also gives us the ability to provide a feature rich, content rich search experience leveraging the development of Google, Bing and Yahoo as well as the other search engines. To the extent that we leverage even beyond those providers we can provide comprehensive search results where our proprietary technology sits on top of the development that those engines do.  So we focus more on user experience as opposed to just the search results.
Scott Kessler: So David, if I could follow onto that, so number one, are there specific patents that are in place and have been let’s say supported by the PTO or a court underlying the technology?  And in addition, would it be possible for you guys to build out the search affiliations in a way where hey, maybe people would want to pick and choose who the meta search provided results were from because obviously we have seen no lack of new providers over the last couple of years.  And could you in theory build out the platform in that way with their advertising if of course that’s the way the offerings are set up?  Thanks.
David Binder: Sure.  So in the first question you asked, we do hold patents and we hold unique, exclusive licensing agreements specifically around the meta search technology.  The end user’s ability to filter the results is something that we had done in the past on some of our key properties and it’s something that we’re currently doing on InfoSpace.com where you can choose Bing, Yahoo, Google or any blending of those different search engines within your results. We also bring in Twitter so that you can try to see some real time conversations that are going on specific to your queries.  So we have experimented with those kinds of extensions to the meta search capabilities.  We’ll continue to experiment.  And for us we think they’re great user experiences and it’s now about expanding that and trying to acquire users behind those experiences.
Scott Kessler: Great.  Thanks.  And I guess the last point I would make is I think a lot of people don’t understand or appreciate the let’s say proprietary nature of the meta search technology.  And I think it would probably make sense to provide a little bit more information about that in the context of maybe even your investor relations part of your Web site.
William Ruckelshaus: Thanks.  We will do that and you go out and spread the word too.
Scott Kessler: Sure.
William Ruckelshaus: Okay.
Operator: And there are no further questions at this time.  And ladies and gentlemen, that concludes today’s conference.  Thank you for your participation.  You may now disconnect.  Have a great day.